Operator: Welcome to the Liberty Media 2022 Year-end Conference Call. [Operator Instructions] As a reminder, this conference will be recorded today, March 1. 
 I would now like to turn the call over to Shane Kleinstein, Vice President, Investor Relations. Please go ahead. 
Shane Kleinstein: Thank you. Good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in Liberty Media's most recent Form 10-K filed with the SEC. 
 These forward-looking statements speak only as of the date of this call  and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. 
 On today's call, we will discuss certain non-GAAP financial measures for Liberty Media and SiriusXM including adjusted OIBDA and adjusted EBITDA. The required definitions and reconciliations for Liberty Media and SiriusXM scheduled 1 through 3 can be found at the end of the earnings press release issued today, which is available on Liberty's website. 
 Now I'd like to introduce Greg Maffei, Liberty President and CEO. 
Gregory Maffei: Thank you, Shane, and good morning to all of you. Today speaking on the call, we will also have Formula One's President and CEO, Stefano Domenicali and Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling. 
 First, let me start with an update on the split off of the Braves and the creation of Liberty Live tracker. We filed the amended S-4 and we still expect completion in the second quarter. 
 Let me turn to Liberty SiriusXM. We expect we will have a simplified structure following the recapitalization of LSXM and the creation of Liberty Live tracker, and we are focused on rationalizing this structure in the near term. Looking at SiriusXM, the underlying asset, reported strong fourth quarter results with record high ARPU and EBITDA and record low churn. 
 Management did give more cautious forward-looking commentary given multiple headwinds we're experiencing here in the early part of 2023. The top of the funnel in terms of new subscribers is still pressured as the SAAR has dropped from about $17 million in 2019 to something like $13.5 million last year. The ad market remains soft, especially in the first half of 2023, and we are seeing moderating marketing spend ahead of the fourth quarter app revamp. 
 Plus we've had some cash impacts. We expect peak satellite CapEx in 2023, and we are now a taxpayer, something which previously we had not been. We do expect these incremental satellite CapEx will moderate in 2024 with nearly no incremental satellite CapEx by 2027 by the end of the year. We are also stepping up some tech investments for long-term success. We are building improvements around commerce and identity to reduce friction, and the new app will have more personalization as it has within 360L. We do expect these negative trends in the ad market and the SAAR will turn, and we have a resilient business model with meaningful free cash flow, so we still remain optimistic about our longer-term prospects. 
 Turning to Live Nation. We continue to see incredible demand. 2022 attendance was up 24% over 2019. We are at an all-time high for concert attendance despite many markets still being closed during part of the year. We've seen especially strong international markets with 70% of net new tickets sold in 2022 were to international clients and we expect another record year of demand in 2023. Ticket sales in 2023 are up 20% versus the same time last year. And last year, also benefited from 20 million of tickets that were rescheduled from prior periods due to COVID. 
 Formula One Group. Right into the 2022 year. Attendance records were set, we were up 36% over 2019. Our fan base is increasingly diverse with new fans being younger, and the share of females within the fan base 40% larger than the share in the established fan base. That's been the new fan base. The U.S. is especially strong. One in 3 fans globally started following F1 in the last 4 years. In the U.S., it's even higher at 1 in 2. This is a result of many efforts and most of them related to our efforts to drive the access to our drivers across all channels, not only Drive to Survive, but the driver preference on social pages, coverage in larger years publications, late-night comedy appearances on people like Jimmy Kimmel. 
 And it's interesting to note, for example, look at our Instagram followers and comparing GOAT, Lewis Hamilton has 31.5 million versus Tom Brady at 13.6 million. F1 is clearly getting into the mentality of America. And looking at the younger talent, Leclerc has almost 10 million and Luka Doncic is at 8 million. Again, we're doing pretty well. 
 We will have 3 U.S. races in 2023, the second year of Miami, capitalizing on the first year success with several improvements around hospitality and security. We expect the sporting world to be super excited as we are for the inaugural Las Vegas GP. F1 Las Vegas social media garnered over 170 million impressions and over 5 million engagements since September of 2022. And we launched LVGP TikTok last weekend. The first post had over 500 -- 35,000 views in the first 24 hours. 
 Let me turn to the Braves. We reiterate that we believe the split-off will better highlight the value of the Braves. We grew baseball revenue in 2022 even though we had experienced less post-season gains, capitalizing on the tailwinds from our 2021 World Series win. We had year-over-year growth across ticket sales, sponsorship, concessions and retail. We sold 3.1 million tickets and led Major League Baseball with 94% of our inventory being sold. 
 Demand for the season and single-ticket games, ticket remains high for the 2023 season. Bleacher Report called the Braves front office, the #1 in Major League Baseball for the 2023 season, and we tend to agree. We were happy to extend manager, Brian Snitker through 2025. And GM, Alex Anthopoulos invested smartly in the off-season, adding to the already core talent we have by locking them up in multiyear deals. This team is built on young talent and is positioned for long-term success and we very much look forward to the opener on March 30. 
 And with that, let me turn it over to Brian to talk a little bit more about our financial results. 
Brian Wendling: Thank you, Greg, and good morning, everybody. At quarter end, Liberty SiriusXM Group had attributed cash and liquid investments of approximately $305 million, which excludes $57 million of cash held at SiriusXM. There's also a $1.3 billion of undrawn margin loan capacity at the parent level related to our SiriusXM and Live Nation margin loans. 
 As of February 28, the value of our SiriusXM stock held at Liberty SiriusXM Group was $14.1 billion, and the value of the Live Nation interest was $5 billion. We have $2.8 billion in principal amount of debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt is $13.1 billion which includes $9.5 billion of debt that's down at the SiriusXM level. 
 Formula One Group had attributed cash, liquid investments and monetizable public holdings of $1.8 billion at quarter end, which includes $752 million of cash at Formula One. Total Formula One Group attributed principal amount of debt was $3 billion, and this includes $2.4 billion of debt down at the Formula 1 level, leaving $565 million at the corporate level. During the quarter, F1 refinanced its term loan and revolver at attractive rates and an extended maturity. F1 repaid $477 million of its term loan B in connection with this refinancing, using cash on hand. And at year-end, Formula One's $500 million revolver is undrawn. Formula One's leverage at the end of the year was 2.7x. 
 On the F1 operating business, given quarterly variability in the year-over-year race calendar, a reminder that this business is best analyzed on an annual basis. Total revenue grew 20% in 2022 with growth across all primary revenue streams. Other F1 revenue grew 63% or $180 million with approximately $110 million of the revenue growth coming from hospitality and experiences and approximately $55 million coming from increased freight. 
 Team payments as a percent of the pre-team OIBDA as reported, was 66% in 2022, down from 68% in the prior year, benefiting from the team -- the terms of the 2021 Concorde Agreement. As a reminder, other costs of Formula One revenue are largely variable in nature and relate to both primary and other F1 revenue opportunities. Other costs increased from 20% of total revenue in 2021 to 23% of total revenue in 2022. 
 Primarily driven by compression in freight margins with significant air charter cost inflation during the year as well as increased cost of servicing our additional hospitality offerings. SG&A as a percent of total revenue was basically in line with historical averages in 2022. 
 As mentioned in Q3, we did have some modest increases in personnel costs due to the change in the company's LTIP from a stock to a cash-based long-term bonus program and increased headcount to support growth. Also included in SG&A in 2022 was $19 million of costs from the Las Vegas Grand Prix, mostly related to personnel and marketing initiatives. 
 Looking at 2023, we look forward to a record '23 race calendar. The calendar will consist of 14 flyaway races compared to 12 flyaway races in 2022. As we've discussed before, flyaway races typically pay higher fees than the European races. And on Las Vegas, as previously communicated, we expect total revenue approaching $500 million. Looking at total race specific economics, Vegas is projected to be in the top 5 of all races in year 1 in terms of total profit to the company. 
 The Paddock building is progressing on schedule, and the concrete structure will be completed by the end of March. CapEx related to the Paddock building will be incurred at the formula and corporate level and track-related CapEx is expected to be incurred at the F1 OpCo level. The majority of our CapEx spend will be incurred at the corporate level, primarily because year-round activations of Paddock building will be separate from Formula 1. We will not be providing a forward-looking allocation between F1 OpCo and Formula One corporate CapEx, but you'll be able to see it in our historical numbers as they get reported. 
 LVGP will pay rent and other fees out of Formula 1 OpCo to the Formula One corporate for use of the building during the raise period, which will show up in our financial statements as revenue at the corporate level but will eliminate in consolidation. We also expect the receipt of advanced payments primarily related to ticket sales to impact year-over-year comparability and working capital flows in the first year of the Vegas race. 
 Nearly all LVGP revenue will be recognized in the fourth quarter when the race takes place. We'd expect grandstand and GA tickets as well as sponsorship revenue to be recognized in primary F1 revenue as race promotion and sponsorship revenue, respectively. We expect hospitality tickets will be recognized within other Formula One revenue. 
 On cost recognition, we expect the vast majority of the race-related costs to also be recognized when the race takes place as cost of F1 revenue. So there will be some SG&A incurred throughout the first few quarters of 2023. 
 Finally, at the Braves Group at quarter end, they had attributed cash and liquid investments of $151 million, which excludes $22 million of restricted cash. Braves Group had attributed principal amount of debt of $546 million at the end of the year. Liberty and our consolidated subsidiaries are in compliance with their debt covenants at quarter end. 
 And with that, I'll turn it over to Stefano to discuss Formula One. 
Stefano Domenicali: Thanks, Brian. 2022 was a fantastic season on track, commercially with our partners and financially in our results. Max Verstappen 15 wins broke records with the most wins in a single season. The Red Bull team won their first constructors championship since 2013. And the [indiscernible] competition battle down to the last race with Alpine and McLaren both fighting for fourth place. The feedback from the drivers made it clear. The new regulation meant that cars could race more closely, and we saw some great results on the truck. This action during the season fueled our growing fan engagement. 
 2022 show record attendance of Grand Prix events. We welcomed more than 5.7 million fans to race weekend, up 36% compared to 2019. Demand is continuing in 2023 with sellout crowd expected at a number of races this season. 
 Formal One was once again the fastest-growing major sports league on the planet in 2022 in terms of social media followers. We have 60.6 million total followers, up 23% from 2021 and saw significant growth in markets like the U.S. where social followers were up 42% versus 2021 to 4.5 million. 
 Additionally, across f1.com and the F1 app, unique users were up 11% versus 2021 to 125 million. On viewership cumulative TV audiences for the 2022 season was 1.54 billion, and average viewership raise was 70 million. U.S. viewership was up 36% compared to 2021 with an average of 1.2 million viewers tuning in on race days. 
 Looking at some other markets. Italy viewership grew 22%. Australia was up to 20% and Germany viewership grew 9%. With our newer younger demographic, the digital share of F1 video minutes consumed grew from 16% in 2021 to 24% in 2022. As an endorsement of F1 growing global popularity, technological relevance and sustainability efforts, Ford announced the return to F1 from 2026 in a new partnership with Red Bull. Ford is a celebrated name in Motor Sport with a storied F1 history dating back into the '60s, and they are the third most successful engine manufacture in F1 history. We expect Ford's involvement as a technical engine provider will bring value not only to Red Bull, but to the sport. 
 The growing fan engagement has benefited both new and renewed commercial agreements. F1 grew revenue across all primary sources: promotion, media right and advertising and sponsorship. In addition, our Paddock Club hospitality product performed especially well in 2022, its first full season of operations since the onset of the pandemic. We welcomed 50,000 guests over the season with sellout up 12 out of 19 events. In 2023, we are focused on optimizing the value of our Paddock Club by expanding the premium services we offer, continuing to enhance the guest experience and adjusting pricing. 
 Turning to recent updates on our commercial agreements. On race promotion, we extended our race in Zandvoort from 2024 and 2025, and the '23 Dutch Grand Prix is already sold out. The promoter has focused on sustainability from travel with 99% of general admission ticket holders in 2022 arriving by public transportation, bike or on foot. 
 We signed a number of large broadcast agreements throughout 2022, including renewing our partnership with Sky, in major European markets and with ESPN in U.S. More recently, we entered into a multi-year media rights agreement with BeIN Sport to exclusively broadcast F1 in 10 territories across Asia. Our FOX Sport agreement in Mexico was extended through 2025. We also renewed our partnership with Play Sport in Belgium for 2023 and 2024.  And our agreement with DAZN in Japan through 2025. F1 TV continues to grow in popularity among new and heritage fans. The product is now available in 120 countries. 
 On sponsorship, just last week, we announced the addition of Qatar Airways as a global airline partner under multiyear agreement. They will also be the tattoo sponsor at 3 races. Looking forward, there are a number of areas we continue to explore for additional sponsorship opportunity, including travel, financial services, food and beverage, telecommunication and more. 
 Our team is continuously building fund engagement opportunities to capitalize on our momentum. The fifth season of Drive to Survive aired on February 24. The 2023 F1 is for [ qualify ] round is being held through May 25 and we hope to build on the strong engagement from last year when 1.3 million players attempted to qualify. The new license program, F1RK launched its first location in London in December, hosting over 600 F1 guests and celebrities at the official launch party, who experienced the excitement on F1 with 60 full motion racing simulator. 
 The second venue will open in Birmingham in the U.K. in the fourth quarter 2023, with additional locations planned to follow. A new F1 exhibition will also launch in Madrid later this month and remain there before moving to Milan in time for the Italian Grand Prix. This is a 90 minutes immersive experience guiding visitors through the past, present and the future of the sport. And it's planned to visit 25 cities around the world over the next decade. We are counting down to the start of 2023 season. [ Bahrain ] testing finished last week and with another year of improvements to the track, we are expecting even fiercest competition on the track. 
 Ferrari and Mercedes are certainly eager for their come back. There will be new phases on the grid with Nyck de Vries, Oscar Piastri and a promising young and American driver Logan Sargeant as well as the return of Nico Hulkenberg. The '23 race calendar is a record for Formal One. We made the decision not to replace China on the calendar at the most economic benefit of a replacement race was not worth the logistical and sustainability consideration for F1 and our teams. There will be 6 Prix events held in Azerbaijan, Austria, Spa, Qatar, Austin and Brazil. The Sprint series have been successful in driving attendance and engagement across the entire weekend for our promoters and broadcast partners. 
 The 2023 calendar will feature 3 races in the U.S. including taking to the street of Las Vegas for a night race in November. We announced Heineken Silver as the type of sponsor and T-Mobile as the exclusive wireless provider. The plan to deploy an advanced 5G public network and race we can that will power our customer app and enhance the efficiency of the fan experience. 
 Our second wave of public ticket sales will launch soon. And in spring, the world begins on resurfacing the track roads with digital plans in place to minimize disruption to the Las Vegas flow of traffic in the process. We have made a long-term investment in Las Vegas, which we expect to set us up to the race for decades to come. 
 And finally, we made several announcements furthering our efforts in sustainability, diversity and inclusion. F1 recently announced a global charity partnership with UNICEF to help bring quality education to the world's most vulnerable children, building on F1long history of promoting STEM education worldwide. 
 We also look forward to [ debut ] F1 Academy in 2023. The series intend to maximize the potential of young female drivers to reach the highest level in motorsport, providing those currently in go-carting or other junior categories with access to the fundamental experience needed before racing an F3 and working up to Formula One. The series will be consist of 5 teams run by current F2 and F3 teams, each entry 3 cash to make up our 15 cars grids. The first season will comprise 21 total races ending as a support event at the Austin Grand Prix in October. 
 I'm delighted that today we have announced Susie Wolff as the Managing Director of the F1 Academy. She has a wealth of experience as a driver and team principal and will provide huge value to the project. 
 Wrapping 2022 and looking to 2023, I think F1 is the strongest position it has ever been. This year, we launched a new brand campaign demonstrating F1 place in the sporting and entertainment world, giving new fans a reason to actively engage with the 2023 season and keep coming back for more. F1 is an admissible and extraordinary spectacle and adrenaline field and intoxicating world of action, innovation and entertainment, both on and off the track. 
 We have the extraordinary potential of technology until work comes together to make the difference between winning and being forgotten. This is not ordinary sport. This is Formula One. [Foreign Language] so full speed ahead. 
 And now I will turn the call back over to Greg. Thank you. 
Gregory Maffei: Thank you, Stefano, and thank you, Brian. And to our listening audience, we appreciate your continued support of and interest in Liberty Media. And with that, operator, I'd like to open the line for questions. 
Operator: [Operator Instructions] Our first question comes from Vijay Jayant with Evercore. 
Vijay Jayant: Greg, with the Braves, hot spin about to get done and the recapitalization, the reattribution of Liberty Live. And you sort of talked about the rationalizing the structure of Liberty Sirius, I think. Can you sort of talk about the prospect of doing a hot spin of Liberty Sirius post the reattribution? Is there any limitations on that? When you did Liberty entertainment many years ago, even before you talked about a combination with DIRECTV, you did a hot spin and then -- all the time. Is that something that's something potentially possible structurally and from a tax efficiency perspective? 
 And then for Stefano, you have, I think, 10 global sponsors. Is that -- you talked about a lot more opportunities in different verticals. Is there more opportunity to have more global sponsors? Or are we sort of tapped out at that? And if I could, 1 final, it looks like the logistic costs that is sort of paid by the teams, but the team sort of elevated. And I'm trying to understand is some of the inflation impact of that being passed on to the teams. Is that something we should expect to continue? Or was that sort of a one-off factor? 
Gregory Maffei: Okay. I'll start, Vijay. That was so long ago. [indiscernible] questions I almost got lost, but thank you. So look, we have lots of things we could do, including a spin of [ Sirius ]. But I think there are probably discussions to be had with the SiriusXM independent Board members about the best structure moving forward if we were to do something. But all elements are on the table. All options are on the table. And as we said, we look -- we're looking at those with renewed vigor, and we believe we're much better to execute on any of those post the Liberty Live reattribution and the brave spin. 
Stefano Domenicali: Yes. Thanks, Vijay, for the question. I'll start for the second. This logistic cost is true last year it was a combined factor that we had to pay for that and included the team. But I would say the first signal that we see already this year is going in the right direction of these logistics cost to be reduced. 
 And in that respect, there is also the other element that we are trying to be even more efficient in order to make sure that the things are done in the proper way. And this is very, very important to share that. And on the other side, with regard to the partners, of course, we want to keep the exclusivity as a main value and we don't want to put on the other side, the final number of that. It's importable -- it's important that we give the right value to the global partner but also to the other verticals that are coming into the equation because we never had such a strong pipeline. So it's up to us really to make sure that everyone is the right visibility and value for what is the investor related with us. 
Operator: Our next question is from Ben Swinburne with Morgan Stanley. 
Benjamin Swinburne: Two Formula 1 question. I guess, first for Greg or Stefano, whoever wants to take it or certainly both.  It's pretty clear, and I think Stefano made this point last year that the value of the teams has significantly increased, especially from where you bought the business years ago. But I don't know if I have a clear idea of sort of how that benefits F1, the company and ultimately, shareholders. I think it does, but I'd love to get your perspective. And in particular, given the award of asking the first conquered agreement question for 2026. But does this allow or enable or support your ability to sort of continue on this path of operating leverage into the new agreement because of the amount of value creation at the team level. So that's, I guess, the maybe more interesting question. 
 And then I'm going to try, I know, Brian, you guys don't like to give guidance, but I just wanted to take another -- take a stab at the G&A commentary because we're getting a lot of questions on that this morning, $80 million OpCo in Q4. Is there a way for us to think about how sort of recurring that level of G&A is as you move into '23. I know you mentioned marketing. And I guess when you guys talk about a top 5 economic race for Vegas, are you including these incremental G&A costs that are happening outside of the quarter? That's it. 
Gregory Maffei: So Stefano, I'm happy to take a cut and then -- or let you lead the other way. One of the things we are -- to credit Chase and credit Stefano, so it's easier for me to go first to let and give them the credit. One of the things that we at Formula One and with Liberty's help they have been trying to do is build a mentality that I'll credit the NFL for, which is 1 league that we benefit when everybody benefits. And yes, the teams compete very hard on Sunday, but on Monday, we need to think about growing the entire ecosystem. And it was critical that we have healthy teams so that we could have a healthy league. And it was critical that they had a prospect of making money even the teams towards the back of the grid so that we could have a prospect of also making money. 
 And they've seen radical increases in their value. We've seen pretty good increases in our value, but we are here to play the long game. And doesn't mean we won't have disagreements with the teams about how much of the pie is ours and how much the pie is theirs. But trying to build the mentality that as you gain, we gain and vice versa and that we're playing the long game here is really part of our goal. And so I think we will have a strength in hand in the next conquered agreement, not a whipped but a hand saying, hey, look, we're here to grow the value and you're going to be benefit from it, and we want to see your team value grow dramatically. 
 Stefano, please correct me. 
Stefano Domenicali: No, I totally Greg, if I may add just 2 considerations. Something financially means also the strength of the entire system to invest with also the strategy to engage more with fans and partners that will have a direct effect to the growth and the strength of the business itself. And we don't have to forget that not many years ago, the teams were suffering and we, as F1, were there, to support them financially. And this is something that we don't have to forget. That's why we really believe that the more value we give to the team, the more value will go back to the system and to the entire business. 
Brian Wendling: And Ben, on the SG&A piece, I'll talk about it from the full year basis first. But you've seen an increase, obviously related to the Las Vegas Grand Prix that's $19 million. That was elevated in the fourth quarter because we had our launch event and marketing activities around initial ticket sales. We also talked about the LTIP moving from stock compensation expense to a more like a personnel expense, that's in there now. You won't see that increase, so it's in the base. 
 And then there's other onetime items in there. There's higher legal and professional fees associated with a couple of different matters in an ERP implementation and a few other onetime items that are affecting SG&A. So on your question about whether SG&A is included in our statement on top 5 race, it most definitely is. 
Operator: Next question is from Barton Crockett with Rosenblat Securities. 
Barton Crockett: To switch gears to sports teams and -- just wanted your kind of views, Greg, on what's behind the kind of vibrant activity we're seeing right now in acquisitions of sports teams in many sports at premium prices. I'm thinking of the talk around Manchester United, Milwaukee Bucks, Phoenix Sons, maybe Washington Commander, certainly Denver Broncos. There seems to be a lot of prices coming in that are way above what were kind of the values that these teams are carried at and things like Forbes or [ Sporteco ].
 And I'm just wondering if you have any thoughts about why and if this could be applicable to baseball in your view? And  is there any potential for this to be disrupted by all of the noise around local TV rights and the risk that carries to an important revenue stream. 
Gregory Maffei: A couple of thoughts. I mean I don't have any probably unique thoughts on the value of sports teams. You've seen a lot of commentary about these are trophy assets. There's a limited number. They've been good source of value that increasing global popularity only means that they have more interest globally and more potential investor interest globally. I think those are all true isolating which of those factors hard for me to say. I think that's certainly going to be true of the Atlanta Braves is true of them as a -- on their trading value, the longest continuously operating franchise in the United States.  Story and history of winning a storied history of economic success, hard to think of a more perfect franchise in many ways. 
 Obviously, there are changes coming in the ecosystem. I feel pretty good about those changes for a bunch of reasons. I do think you will see net revenue declines across all of baseball with the decline of the RSNs. There -- I think that's in the short term, at least, that's almost inevitable as some of these contracts are done. And there may be operations, which prevent that, but it seems more likely than not. But about our relative position, I feel very good. Having the largest cable household or a broadband household territory having a very large dedicated fan base, having a relatively modest RSN fee given the scale of those, that territory all anecdotal evidence, we know suggests that we have the most profitable RSN for the RSN owner and distributors. So there's plenty of confidence that there are reasons why they would want to stay engaged. 
 And there are a lot of other broadcast outlets, which would want to be involved with the Braves given the strength of all the things I started with. So the disruption is certainly there, the potential, but I feel very good about our -- of how we're positioned. And frankly, the financial health of the Braves gives me more confidence in that, too. 
Operator: Our next question comes from Stephen Laszczyk with Goldman Sachs. 
Stephen Laszczyk: Maybe for Greg on F1. I think you said that roughly 1/3 of the fan started following F1 over the last few years, and that certainly makes sense with looking at the attendance increases. But maybe looking ahead, could you talk a little bit more about your confidence in converting the fans that have come into this sport, maybe because of Drive to Survive or social media over the last few years into lifelong fans in the sport. And maybe more broadly, what do you see is the next most important levers to driving fan growth from here? 
Gregory Maffei: Well, I'll comment, but I also want Stefano to add. Look, we are very focused on sustaining the growth and interest in F1 in many, many ways. That's with new innovations on the track, ensuring more competitive racing with new innovations on -- around the weekend like the Sprint races. Lots of ways to grow fan interest on the track. Lots of ways to grow fan interest in some of the things we do off the track and exposing the drivers. Drive to Survive was obviously a key part, but not the only one. I think we're helping and the teams are helping create what will be a very exciting movie next year with Brad Pitt and the directors of TopGun: Maverick and producers of TopGun: Maverick, all of which we think will be another thing to sustain growth. 
 The Las Vegas race is going to be a massive noise maker for our sport. And it'll open up our sport to many people who previously were not aware. While there are 16 and 17 year olds who are crazed and get up every Sunday morning to watch, there are many people who really do not follow Formula One. It will be hard to miss Formula One after Las Vegas. It will be loud, and we will get a lot of attention. So we're not only thinking about things which are current, but we're thinking about things for the long term to try and sustain that interest, convert that interest into long-term fans. And I think we have a lot on the plate and many more in front of us that we're working on to do that. 
 Stefano, what would you add, please? 
Stefano Domenicali: Yes. I would say that Greg -- the main sporting pillar for sure  covered. We talked about raising on the sporting side, on the technical side, on the financial side, these are elements of which we really are focused because we have shown in the short term that we've find the ideas to improve the respect of the race in itself. But if we have to add another dimension related to the fact that we are an entertainment platform that is growing, we are working on a new form of fan engagement with different social content, with a new way of connecting with media, but also we don't have to forget one thing that I would say is getting more and more relevant. 
 The way that we are doing our sport in a context where we are talking about very important values when we are talking about the diversity in our project, when we are talking about our social responsibility, when we are talking about our ideas to develop on the sustainability side of it, I think that all these new elements of discussion are elements that are tracking new people, new fans of Formula One. And also, we have the opportunity to talk about these things with a different voice. And the tone of voice, of course, is different depending on who we want to engage with. But we are a platform of connectivity. So broader connectivity means that all the elements that are able to attract interest has to be discussed and operated in the way that hopefully we have shown to be very serious. 
Stephen Laszczyk: And then just 1 more quick one. Brian mentioned that prepayments came down as a percentage of pre-team share adjusted EBITDA or OIBDA in 2023. We know those are variable. I was wondering if you'd be willing to speak to at what point we started to see some of that operating leverage come through in 2022? And maybe what investors could expect to see on this front in 2023. 
Brian Wendling: Yes. So as you rightly point out, team payments were a source of margin expansion in 2022. That was offset by the freight compression that we've talked about.  Higher hospitality costs, although we still have very attractive margins in the Paddock Club. But as we've talked about before, with the '21 concord agreement as our profitability grows, we have increased leverage on those team payment counts. And as we pointed out before, there's some onetime items in SG&A. So we would expect some... 
Operator: Our next question is from Peter Supino with Wolfe Research. 
Peter Supino: Pleasure to be on Liberty call. A question on F1 operating expenses, in particular, I wondered if you would discuss puts and takes for OpEx as we move beyond 2023, given that 2023 OpEx includes some onetime costs for the O&O event in Vegas. 
 And then the second question is on your global popularity. It's obviously on the rise, and we all agree that the U.S. is going to see a wonderful benefit from Vegas. And as that happens, I wonder as you look at other professional sports leagues in the way they leverage their brands, what best practices outside of the core events are you looking at that you think you might be able to replicate at F1? 
Brian Wendling: So I'll take the OpEx 1 first. But as we pointed out, freight margins have been one of the biggest pressures on our other cost of revenue. And we basically absorbed that in 2022. So you wouldn't expect to see that continue in -- as we go forward. And hopefully, you'd see some leverage there. Hospitality costs, as we just said, there's good margins. So Vegas will play in. We haven't given the OpEx number. We've just given the revenue number and overall profitability, but you'll see OpEx increase associated with Vegas, as you would expect. But yes, we would expect leverage as we move forward. 
 Stefano, I'll let you handle the second. 
Stefano Domenicali: Yes. Can you hear me, Peter? 
Peter Supino: Yes. Thanks, Stefano. 
Stefano Domenicali: Okay. Sorry. I was losing the line. No, I think that the global popularity as you said, is growing, and this is a fact. And I would say what we are bringing home is the fact that all the other sport league business are really interested in understanding how our growth was so fast and dramatic. And -- but of course, we are quite humble in that approach because we want to learn from everyone around the world, what we can capture in order to increase let's say, our way of growing. 
 I think that is one key that is very important is the way that we engage with our drivers with the fans. And they are really the voice, the authentic voice of the business we are in. We feel that sharing with them the responsibility of that fan engagement is giving us an incredible attraction because then that attractive approach will turn into business, if you think about gaming. If you think about the fact of the drive, then the fans wants to attend to the race. If you see that fans wants to follow, the count on our social media. So I think this is really one of the key elements that is quite unique. And I think on that, we will work even hard to make sure that this voice is even stronger. 
Gregory Maffei: Next question. 
Operator: Our last question is from Jason Bazinet with Citi. 
Jason Bazinet: I just had a quick question on Formula One. Can you just -- if Vegas is as successful as you expect it will be, can you just talk about gaining factors or constraints that are ahead of you in terms of expanding that into other cities? 
Gregory Maffei: I'll take a cut, and I'll let Stefano add. Vegas is unique for many reasons. One, the economic opportunity is large. We're not -- we're operating in a country that -- which Liberty is reasonably familiar. It's pretty close to us. The ability to go negotiate and make something happen on a street circuit rather than an own circuit, made it easier in many ways, there wasn't a promoter, natural promoter. It was a role that was good for us to fill in and it was good for us to test some of the theories we had about promotion. So it was a unique opportunity and great -- it's a great test lab. 
 Could there be other cities. I think there are many countries where it's obvious we would be less effective as a promoter than the U.S. There may be some where we could operate reasonably effectively or maybe have some form of co-promotion and that could be interesting. But I do not -- I think Vegas is relatively unique in terms of being the kind of place where we would go all out and do what we have done and what we are doing here in 2023 in Vegas. 
 Stefano, what might you add? 
Stefano Domenicali: Yes. I couldn't agree more. I think that is absolutely, totally right. And we don't have to forget that in such a short time, we moved in a new dimension that has been the promoter in a way that no one was thinking before possible. So first step for us is to make sure that we need to make sure that Vegas is right first at the first attempt. So total focus on that. And then, of course, I'm sure that this will -- an incredible push for all the promoter to see what is really -- what can be done better. 
 So I think that already by doing that will be an incredible push for everyone to push for a better qualitative result for -- from everyone. We have a huge demand around the world to host Grand Prix, not only in the U.S. but also in Paris. So this could be experience that can be used to better organize Grand Prix in the future. But so far, let's make sure that we are totally focused on making Vegas super special there. 
Gregory Maffei: So operator, I think we are done. So to our listening audience, thank you for your interest in and for our support for Liberty Media. We hope to speak with you next quarter, if not sooner. And I think operator, we can end the line there. 
Operator: Thank you. This concludes today's conference. We thank you for your time. You may now disconnect your lines.